Martin Adams: Good morning, everybody. Thank you very much for joining us here today for Wise plc Half Year Results for FY 2025. We’ve got some prepared slides, which we will talk you through, and then we’ll move on to a Q&A session where we’ll start in the room, and then we’ll move to our Zoom webinar for any further questions. So we have our CEO and Co-Founder, Kristo Käärmann, who’s going to speak to us a little bit about the progress that we’re making business and the strategy and the infrastructure. And then we have our newly appointed CFO, Emmanuel Thomassin, who will share with us our financial results. So with that, over to you, Kristo.
Kristo Käärmann: Thank you. I’ll see we have clicker. Great. Thanks, everyone, for coming in, in person. Good morning. And before we actually go into the results and look at the progress that we’ve made in the last six months, I thought it’s a good moment again to zoom out a little bit. So look at the period of, let’s say, four years since we have listed and now. So what’s happened? So you see that compared to the four years back, our cross-border business, effectively the active customers – active cross-border customers and cross-border volume, it’s grown about 3x over these four years. And the Wise account, which back then was in its early days, the investments there have kind of starting to show now. So over the four years, this has grown more than 6x. But maybe more interesting even on this slide is that when we look at the underlying income now, this has grown faster than the business that we’re building. So the business has grown like 3x. We managed to reduce our fees over time, get a more aggressive price point, and yet still, our underlying income is growing faster. It’s a great proof that the mission that we’re investing behind, this does make a difference to our customers and at the same time it’s producing many multiples larger business to our owners. So we believe that money should work without borders for businesses and people, but there still is a huge amount of friction cost and stress when we’re extending our lives across borders as people or our businesses are trying to do business outside of their home country. So let’s remind ourselves of the scale of this challenge. So firstly, when we look at people, we estimate the move about £2 trillion across borders, and it’s growing pretty fast. We’re doing about 5% of this. Small businesses move another £12 trillion. And that is where our market share is still in its very infancy, so we’re less than 1%. And furthermore, additionally, larger enterprises, they move another £13 trillion. And while we don’t intend to address them directly, actually as we serve banks through our platform and some of the large enterprises, we are going to be seeing our infrastructure being used for that group as well over time. So while today we move about more than £100 billion last year, we’re building a network to move trillions. And while we have a great start, we’re still scratching the surface here. And while we see – while we saw on the first slide that our long-term strategy is bearing fruit in terms of the numbers, I’m going to take you through the things that we are investing behind today right now to get to the next £100 billion on the way to the trillion. So I’m going to talk through the infrastructure that we’re building, which is powering the products that we serve for our customers. And then Emmanuel later is going to talk through the financial model and how this all hangs together and lets us invest for our future growth. So most people know Wise as a smooth and convenient app and many don’t realize that what we’re doing here with about 800 engineers is building the infrastructure that’s powering this app. The apps are easy to replicate, but the infrastructure is really what makes the difference in the cost and speed and experience that we can offer through those apps or through the platform. So when we go in further, what does this infrastructure really mean? It allows us to operate in 40 currencies across many, many more countries. It is the unique combination of regulatory licenses, technical integration and operational capabilities. That’s powered by an operational team of 6,000 people, of which 800 – more than 800 engineers are probably one of the largest engineering teams that are working on a cross-border money movement problem anywhere in the world. So I’m only going to show a couple of developments. This is a massive kind of thread of work that we’re building, but I’m just going to highlight a couple of developments from the last six months just to bring it to life for us a little bit. So first of all, this service, the customer support that we provide for our customers that should be as instant as our transfers. So we’ve been supporting our customers 24/7 over e-mail for some time. But now, a few months ago, we managed to get our phone lines to 24/7 support as well. And even more recently, we managed to bring back chat support, which, given all the technical developments, is a great interaction mechanism and recently launched chats 24/7 as well. Secondly, our licenses. So we hold now about 65 different financial services licenses all around the world ranging from making payments to holding and handling money, to making investments. And in the last six months, we’ve added two more. In India, we secured approvals to improve our outward transfers, removing a previous $5,000 cap. And while we’re already delivering about 10% of all the world’s payments to India, according to the Reserve Bank, this is the first step of many to come for us to be able to serve Indians directly in India. In Australia, we’ve been granted an investments license, which opens up the opportunity to do interest paying assets feature for Australian customers later this year. That builds out the Wise account for Australia. That’s already very popular, but I think this will make a substantial difference. Next up, on the infrastructure story, direct integration. That’s another thing that sets us apart. To move trillions, we intend to be directly connected to all the payment systems in the world without the middleman, of which we now have six live with a further two on the way. And let me just remind us why that makes a difference. Direct connections are very hard, but they are fundamental to creating the experience that our customers want to talk to their friends about. Regulators rightly want to ensure that highly qualified operators can only have access to the usually nationally strategic financial infrastructure that these payment systems are. So we are now operating live in five – sorry, six integrations. And the sixth one was Philippines that was added this week or actually a few weeks ago, but we announced this week as we opened up InstaPay. And just to put some metrics in of how do we see that these instant connections are making a difference. When we launched UK, that was the first one, the hardest one, our bank costs came down about 9x. So that was the effect of this. When we – we actually talked to you about Australia last time. So now we’ve seen that the instant transfers to and from Australia have gone from 24%, which is already pretty decent, up to 83% now through this instant connection. And in Hungary, when we went instant there, we saw that because the money is already there before any customer can contact us, there was no reason to contact us. And therefore, our support customer are down and other operating – operational costs. So now two more integrations are on the way. In Brazil, we’re already bringing more transfers in and out of the country than any other bank, any other local bank according to the Central Bank statistics. And the direct PIX integration is going to make a difference there in terms of their experience and the reliability of the infrastructure. And we were the first bank to become a participant in Zengin. Quite recently, we announced that as well. So, why am I still talking about infrastructure and these subtle proof points? Well, because 70% of our customers are coming to Wise because someone recommended Wise to them. And usually, when someone recommends, the conversation goes about either how much money they have saved by switching to Wise, but how their transfer arrived instantly on the other side of the world, the transparency of the fees, the reliability of paying and getting paid. And the great indicator of progress of especially the infrastructure part is this chart here, where we see our instant payments have come down to 63%. And as we flagged in June, we’ve been able to set the lowest price point so far, as our efficiency gains in our unit costs have come through. And in the most recent quarter, our cross-border take rates or the cross-border payments was 0.59%. And we also know for the fact that 100% of our Wise Platform customers are partnering us because of the infrastructure. So, keeping on those price changes, the recent ones that we’ve made in the last six months period have actually made Wise more attractive than ever. We’ve seen that when customers send larger amounts of money, they are actually more likely to work out what the bank is trying to charge them in terms of the in-fees they’re hiding – trying to hide in the exchange rate. So, this is a good moment when doing larger payments for people get educated and they start looking around. It is, therefore, also very helpful for us to be super competitive on those high amount of transfers. So with the large transfer customers, we now give a dedicated support experience. And thanks to our recent price changes, we can serve them at an incredible price point. So for example, as mentioned here for the £2,000 payment to euros, we only charge 0.1%, and we’re still operating these very profitably. The customer response to the reductions or changes in pricing that we do will not be immediate. So, we shouldn’t be looking out for that. But it’s inevitably – it’s inevitable that the lowest price operator will win the scale needed to become the infrastructure to operate the trillions of cross-border money. So, our infrastructure, it powers the products that we serve. It powers three different verticals. We serve individuals through Wise account, the expats, the travelers, people who have just moved countries. We serve small businesses through our Wise Business account. And we serve banks and others through Wise Platform, banks and large enterprises. So, let me touch on each one of those a little bit, just to give you some highlights of things that have gone live over the last six months. So first of all, the Wise Account adoption. We’ve been talking about this over time, as we started with transfers and we’ve seen more and more people migrate to – and businesses, especially actually, migrate to the Wise Account. So, we see about 53% now of personal customers using Wise Account and 60% of businesses. And the Wise Account story continues. We were already delivering about 12% to 15% of all the money to Philippines or the personal transfers to Philippines. And we were merely serving the senders. So, someone, let’s say, in the UK or in Australia, paying someone in the Philippines. But the freelance community and the outsourcing community there is enormous. Now we are live with the Wise Account in the Philippines for the Filipino customers. And this comes right at the time of the InstaPay integration. Remember, a few slides back, I talked about direct integrations, the new one was Philippines. There is a couple of things that happened in Philippines. We added the integration and we also went live for local customers with the Wise Account. This is just the first step. So, it solves for some of the freelancer use cases, but there is more to go on bringing out all the power of the Wise account in the Philippines. That’s not all. A big difference – if I can get the clicker back, please, or go to the next slide. Thank you. So, in the last six months, we’ve been able to do quite a lot of work in the background. So, it doesn’t come out as new features, it just comes out that we’re able to increase limits or remove restrictions that we have had on some routes. So, we were able to increase transfer limits in India, mentioned and Japan through the regulatory change. We went higher with Singapore, Pakistan, Vietnam, Israel, Turkey and Indonesia. So it’s a list of countries. But what that means is we can now have bigger payments, especially matters for businesses. It also means that it will affect our volumes that we can put through and give us more scale. And this matters more for businesses actually because they’re usually the larger amount of transfers. So, let me continue with businesses. Our strategy for Wise Business customers continues to be to serve the small and medium-sized businesses now. And over time, we are moving to larger and larger ones, as both our customers grow and we are building out the more complex features that they need. An important part of running any business is to get paid. And getting paid internationally is why a lot of businesses come to Wise. So, in the last six months, we made that easier. So, for example, we noticed that 25% of Wise Business customers actually get paid by other Wise customers. So, that transaction already happens on Wise. And we’ve now made it easier. So, we made it easier for our business customers to invoice others and get paid with a QR code or a payment link through a feature called Quick Pay. This kind of network effect then boosts the sender and receiver both being Wise, leads to faster, cheaper and actually more convenient experience. For other business customers, those whose clients need to pay them over the traditional SWIFT method, we connected their accounts. And we then were able to increase the number of currencies to more than 20 that they can get paid. So again, the same use case, just expanding this to more businesses and more kind of individual circumstances where businesses can get paid. So, we covered a couple of use cases, a couple of highlights on the personal side, on the business side and many of these are helped by the infrastructure that I was talking about earlier. And that infrastructure we open to our partners and to banks through Wise Platform. So, on Wise Platform, we talked about Nubank and Qonto last time, so Latin America and Europe, these are two exceptional challengers, who are growing at a very, very high speed. And yesterday, we announced a completely different partnership. We announced a partnership with Standard Chartered. This will allow Standard Chartered’s customers in Asia and Middle East to send money in 21 currencies in a matter of seconds. And it’s very cool to see that they will be transparent in pricing. So their customers will also now know what they’re paying for these transfers. They’re going to get mid-market rates with their markets. And each new partnership, whether it’s a fast-growing challenger bank or a forward-thinking Tier 1 bank, creates a superior experience for end users. It opens up new volume on our infrastructure that gives us scale that we, otherwise, couldn’t have easily reached. So we covered earlier our phenomenal growth over the first four years, tripling the size of the cross-border business. When we zoom out, like this looks just like a beginning of a much, much bigger opportunity. So the things that we’re building today that I talked about, we’re building infrastructure to move the trillions. We’re building apps to serve hundreds of millions of customers. And we expect the support coming from all banks, switching – we’ll be able to support banks all around the world, who are switching over from the current foreign correspondence to Wise Platform. So in this context, we’re really just here getting started. Just so to summarize, before I hand over to Emmanuel, we’re continuing to build the best way to move and manage the world’s money, through – doing that for a really large addressable market. We’re creating the network, the infrastructure that’s actually powering this, doesn’t exist. We’re building products on top of that, that people love, they want to talk about, they want to recommend to their friends because it’s fundamentally better than anything else that’s available out there. And by doing this, we’re creating a really valuable company to our shareholders. So this is a massive opportunity ahead of us, but we’re making progress every quarter, every half year. So I’ll hand over to Emmanuel to take us through how we’ve done in the last six months.
Emmanuel Thomassin: Thank you, Kristo Well, good morning, ladies and gentlemen, and welcome to our trading update. It’s a pleasure to have you here. My name is Emmanuel. I’m the CFO of Wise since October this year, so recently. I am the successor of Kingsley, who did a fantastic job over the months and make my onboarding extremely smooth. So thank you for that. It’s my pleasure to present the half year numbers and results for you. But before I do so, I would like to give you on a personal note some highlights, why I joined Wise and also what will be my priorities for the next months or so. So why did I join Wise? Well, I joined Wise because I met the team and I find it fantastic. I love the culture and I love the ambitions. I also joined Wise because I saw a massive opportunity in front of us, and Kristo touched on this one, and I will also elaborate on this in a few slides. And I also joined Wise because this is a brand that people love. And quite frankly, I didn’t use Wise before. But the moment I announced that I will join Wise, it was a phenomenal. I mean, a lot of relatives, friends, ex-colleagues of mine, they said, wow, I love the product. I use it every day. This is fantastic. So I was really amazed by the brand awareness already in the market. And also I joined Wise because I think I can contribute. I mean, like with my first experience. So I think like, well, this is maybe the moment to join Wise and to contribute to this fantastic way ahead of us. So that’s my reasons. Now after four weeks, I identified some points that I’d like to focus on. This is not exhaustive and that will change probably over the time. The first one is I’d like to review our short, middle and long-term planning, like just to understand it, to challenge it. Because as a CFO, you want to make sure, I can understand the numbers. But basically, this is what I would like to do. The second one is our capacities to invest. I’d like to see how can we invest at a very good return in the future. And the third one is more on our teams. It’s basically building teams together for the future. I mean, we had a tremendous journey in front of us, and we want to enable the business to grow and to be ready for the growth. So before I jump into our financial KPIs, I’d also like to cover two slides that are non-financials to start with and then go to our financial KPIs. The first one is about our vision, so why are we here every day, what we’re building together. And the second is about our scale capabilities. So that’s where I would like to start the nonfinancial slides. And now let’s start with our conviction. So you just saw the slides already. But I think for me, it’s important to repeat why we’re here. And there’s a tremendous opportunity, and we are building the network of world’s money. And that’s something that I think is really important. Over the last 14 years, Wise have been building this infrastructure, Kristo touched base on this, and this is the requisite. This is what is required in order to build this network. And from a financial point of view and from my point of view, it’s like this massive opportunity ahead. I mean we touched base on how many – how much customers and businesses are transferring every day. Cross-border volumes are around £27 trillion every year. And last year, as you know, we transferred £118 billion, so the massive opportunity for Wise ahead in the next decade and more. So now I’d like – also like to see how we’re able to scale our business. So the growth of Wise is coming from customers and activity of the customers. And what do we do for this? First, we invest in direct marketing and targeted marketing at a very high return to unlock new customers, to have them joining the platform. The second one is we invest in infrastructure. You hear it and you will hear it again because this is core to our business. We invest in infrastructure, we invest in product. And thirdly, we invest in price. So we want to offer the service at the lowest price as possible to the consumer. And why we do so, well, because this is a better customer experience. And because people love this experience, they come back, they use the products, and they refer to friends. They say, wow, this is a great product. Emmanuel, you should be a Wise customer. So basically they come to us. So that’s why all this is important because it give us growth and give us scale. And the scale that we get at the attractive margin that we produce give us a good PBT, or profit before tax, which is fueling actually the earnings. So the long-term earnings growth is there because of this flyway that we generate. That’s why it’s so important that we continue to invest. Now on the next page, I’d like to go to financial KPIs. As I mentioned before, I joined recently. So I will not take any credit of the numbers. They’re fantastic. For a CFO, it’s like, wow, this is it. This is a fantastic set of numbers. I did the right choice. I mean, there is no doubt about this. So I will take no credit for that. What I’d like to – and I will go through every single pillars in the next slide, so I won’t take too much time on every single items here. We will follow this in the next slides. But the company have changed dramatically since the direct listing in 2021. I mean, the growth is phenomenal. And when you look at the growth in terms of customers or active customers, in terms of volumes, in terms of results, all this is a result of the continuing investments that the company is doing towards a greater scale of the business, as we see it today. So this is the result of this investment that we do it. Now I’d like to look at the customer growth and the activity. So the active customers is a combination of new customers and existing customers that are coming from our previous cohorts. Here, you see that the private customers have been growing by 25% year-over-year and 29% CAGR over the last four years, while business grew by 28%. You surely recall that last year, the business growth has been a little bit lighter, as we paused on the onboarding in some geographies. But I’m happy to announce, and you know that for sure, that since the beginning of the fiscal year, we reopened this onboarding, and we see the improvement already. And this is a massive opportunity that we have with this business account. So that’s why we’re super excited at this point to re-onboard the customers – the business customers. So the activity of the customers are also driving our volume, and this is what we’re going to see on the next slide. So again, logically, the numbers of active customers, the more engaged they are, this is driving our volumes. And we see in the first half year of 2025, a growth of 19%, up to £68 billion for the first six months, which is 3 times higher than what we had four years ago as the introduction. So if you breakdown the growth, the private customers’ volume grew by 20%, while 18% for the business segment. So – and the growth of our customers and activity of the customers is not only driving volumes, they also trust us and increase the holding balance, and we’re going to see this on the next slide. So the adoption of Wise Account, and you’ve seen the 53% for the private customers, the 60% for business is not only driving our transfer, our core initial part of the business, but it’s also driving and proof that the Wise Account adopted, and this is also driving our debit cards. But the first thing that we see is that the customers are trusting us more and more. Every single quarter, they trust us more and they increase their balance. They increase the balance to now almost £15 billion. We’ve seen an increase of the holding balance by 31% and of the asset by 100% year-on-year for a product that is only two years old. So now, I’d like to go to the next page and see the acceleration of what customers are – of what the customers holding balance are also driving. So they not only drive – increase their holdings, but they also use other offerings such as the debit cards. And this has not come as a surprise for us to see that we come at £170 million for the first half year in terms of revenues or incomes from the card, which is like – sorry, 50% growth and a CAGR of 80% over the last four years. So now, let’s look at the pricing. In the first six months of 2025, we addressed the pricing. And after four weeks, what I realize is how complex transactions, sending money, receiving money is and how deep in the detail you have to be in order to drive price adjustments. And this is what our teams are doing. They look at every single detail, understanding the cost in every detail before taking any decision on price adjustments. And when you do so, we decide, we control the price adjustment because we want to make sure that this is sustainable long-term economically for the company. So if you look at the – what we’ve done basically over the last year, in Q4, we end up with a take rate for the cross-border at 59 basis points. We reduced it – no, look, sorry to – sorry, we started at 67 and we reduced it to 58, so it’s a drop of 8 basis points. This is back to our price adjustment that we’ve done and we give back the cost efficiency that we are generating back to lower the price. Let’s look now at the evolution of the underlying income. Over the last four years, the underlying income increased by 36% and 19% year-over-year. This is due to our personal growing but also business growing accounts, as we saw before. And the customer adoption of the Wise Account is impacting our revenue mix or income mix. More than one-third today of the income is generated by card and others. So more than one-third, we saw an increase of 52% year-over-year. And one thing that you always see is that the impact of the price adjustments, especially on the cross border, where we grew by 9%. So this is directly an impact of this price adjustment. Now, I’d like to go to the gross profit, our underlying gross profit evolution. So we’ve seen that in underlying income increased by 19%, but the underlying gross profit increased by 30%. So this is an improvement by 6% in terms of margin. Part of it is due to the underlying income, but also this is coming from the cost of sales where we also are extremely efficient. And we dropped the cost of sales during the first six months compared to the year before. But as you know, part of it is also due to the FX fluctuation. So we estimate that 3%, roughly the impact of FX on the cost of sales for the first six months. This gross profit that we generate give us space to reinvest, to invest in marketing, infrastructure and also in price to drive more customers. So that’s why we focus on gross profit and also on the PBT. Before moving to underlying PBT, I’d like to look at the OpEx evolution. For the first six months, we are – administrative expenses increased by 24% compared to the year before. And within the administrating expense, the third-party part was growing faster than the employee benefit expenses. The reason for this is because we choose to work with experts, consultants to externalize certain services that we give to the customers. Why do we do so? Because it gives us flexibility to scale up and down and also at lower cost. So here also, we are looking for driving efficiency and to reduce our costs. So now, let’s look at the profitability and the reporting PBT. So the PBT has grown faster than any other KPIs that you saw on the first slide. So there is 3 times more active users, 3 times more volumes but the PBT is growing by 8 times compared to 2021. So this is a phenomenal increase over the last four years. And this is growing by 57% in the first six months compared to the year before. We generate a margin of 22% in the first six months of the year, which is above the range that we guide with 13% to 16%. So we’re having no – but the range that we give, so we have now reinvest in the price offensive as we did, and we’re heading now towards this range that we are – that we guide the market for 13% to 16%. So this offensive will guide us to this margin. And lastly, I’d like to go through PBT. So I’ve been focusing on underlying PBT, which is basically for us a good representative of our financial performance. If you look here, we – as you are aware, the framework that we have in terms of interest framework, we retain 20% of the interest that we generate below the underlying PBT, and we aim to distribute 80% to our customers. In the first six months, we were able to distribute almost half of it, of the 80%, which means that basically, the rest of it was passed to the PBT. And we end up at £292 million for the first half year. This is a growth of 51% compared to the year before and this is a CAGR of 95% over the last four years. So again, as a CFO, it’s just numbers that you like, 95% growth in terms of PBT. And that translates into an EPS of [indiscernible] My last slide is about guidance. As we announced in the last earning update, we are guiding – or we expect underlying income growth between 15% to 20% for this year but also in mid-term. And this is how we price our product today. And this results in a profitability margin that we expect to be between 13% and 16%, as I mentioned before. And now, I hand back to Kristo for the final two slides.
Kristo Käärmann: Thanks, Emmanuel. Thanks for your first half year, many to come. So we’ll be soon very happy to take any questions. Before we – thanks for switching to mic on. Before we do so, I just have two more slides just to summarize what we’ve been talking about here. And this is all about how are we going to get to this first trillion. It’s going to be pretty much the same focus and the same formula that got us to the first £100 billion. As the infrastructure gets more efficient, we invest in lower fees, wider moat while remaining healthily profitable that we’ve committed to. We will invest in experiences that our customers want to talk about. That will get them to recommend Wise to everyone they can – they meet. We will invest in marketing to amplify the message. We’ll bring more features to our customers in more places. We’ll expand geographically and we’ll deepen the experience. And all of this is going to lead to more customers. And not just more customers, more of evangelical customers or customers who want to talk about Wise. So these investments are what are going to take us to the first trillion. So one thing to remind us is the investment horizon, how we’re investing behind is in the year. So the things I talked about that we released today is not going to make the difference in numbers next quarter or even this financial year. But it’s going to matter over the next decade. And the investments over the next 10 years will need the same long-term focus, the same discipline to adhering to our principles, financial model. Because our shareholders are in a company like no other in recent history, the one that has the foundations to eventually fix how money works across borders for people and for businesses. Thank you very much. I will open for questions. I see hands going up. That’s awesome.
Operator:
A - Martin Adams: Thanks, Kristo. If you could just wait for microphone to come. And when you have a mic phone, please just introduce yourself and where you’re from. We’re going to start with questions from the room, and then we’ll jump over to the Zoom webinar for further questions from there. Thanks.
Justin Forsythe: Justin Forsythe from UBS, and welcome Emmanuel. A couple of questions for me, if I might. So first, I wanted to hit the Standard Chartered relationship. Congrats on that one. Maybe you could walk through a little bit the process in winning that deal. Clearly, you had Mox before, which is their Nubank. But how long was the sales cycle? Ultimately, why did they decide to use Wise? Appears as if their pricing was somewhat reasonable and competitive and one of the lower-cost providers in their key quarters. So why did they win – why did you win that one? And what does the pipeline look like for closing other Tier 1 Wise Platform wins? The other one is for Emmanuel. I wanted you to talk a little bit about your guidance philosophy. I think one of the key investor debates has been around the potential for EBITDA and PBT margin to end up above the long-term guidance range. So what are your thoughts initially on the operating leverage in this business model and your initial thoughts on that going forward? Thank you very much.
Kristo Käärmann: Thanks, Justin. The sales cycles to large enterprises is shorter than the sales cycle to large banks. So this is as long as it gets. We’ve known Standard Chartered for years, and it will take time for them for any large institution, even however much they want to use our infrastructure to get ready to actually do so. So these sales cycles are very long. Standard Chartered is a good example of that. But they’re faster than many others, to give them credit. We had a fantastic partnership that launched, I think, later last year or earlier this year with Mox, their Hong Kong digital subsidiary. This has been going well, is giving them confidence on and working with us. And the infrastructure investments that they are seeing and their customers already using Wise is a good reasons why they want to bring this to their own platforms rather than having with Wise or with Mox. So we’re very much looking forward to that partnership and the build-out. Thanks for that. So maybe the other question.
Emmanuel Thomassin: On guidance. Well, four weeks down the road. So it’s like you heard my first priority, it was about planning. So I think the guidance that we gave reflects the investments room that we want to have, like to invest in our product, infrastructure. I will not comment on the current guidance. Basically, we are building the guidance this first half year, as you’ve seen on the results, on the profitability. I think that the guidance is absolutely reflecting – for the future, is reflecting the price offensive and the price investments that we’re doing. But more comments than this, I will ask a bit of patience, but yes.
Justin Forsythe: And Kristo, on the further Tier 1 bank pipeline, if there was anything in there for large banks in the Wise Platform pipeline.
Kristo Käärmann: I mean, eventually, all the large banks are going to be there. It’s just a matter of time.
Justin Forsythe: Okay. Thanks.
Kristo Käärmann: Thank you.
Hannes Leitner: Hannes Leitner from Jefferies. Maybe also on the platform side of things, maybe you can give an update how Nubank is ramping. And then maybe also, you always talked, it’s like very insignificant contributor to current financials. Maybe you can give there an update in terms of the platforms. And then the next thing is on infrastructure, what is the road map? You present on your website a road map, but there it seems like quite everything is current. So you’re executing well on that. And then on M&L, I mean, PBT margins tracking ahead. They should come closer. What is now here the moving parts? I think you kind of all indicated that the price cuts for the second half are not planned. So how should we think as the business scales into second half and into next year, how close do we get to the PBT margins? And then in terms of investments, also for Emmanuel, do you see price cuts only as the investments? Or is that also driven by expanding the team? Thank you.
Kristo Käärmann: I think this was about five questions. I take it all. Sorry, I forgot – I already forgot the five. So yes, Wise Platform is – it has an enormous potential. The people are already banking – people and businesses and large enterprises, they’re already banking with someone, usually with a domestic bank. And the experience that we can create when we build Wise into that bank experience is far superior. So over the longer term, this is a huge opportunity, to tap into this £27 trillion that we were talking about earlier. But we are here to give you the actual financial numbers and give you guidance in the short term. And it will take time when that – these numbers that we see, Wise Platform reach that threshold, where we’ll start breaking them out. So not yet. Nubank, Qonto, they’re going really, really well. We see that a lot of our – even the earliest customers in Wise Platform are still continuing to grow actually. So the good thing with them is that they’re definitely going to be growing as companies themselves, and we see the volumes growing with that. That’s also true with a lot of our challenger customers the earlier days.
Emmanuel Thomassin: Want me to cover margin?
Kristo Käärmann: Yes please.
Emmanuel Thomassin: So yes, margin. So yes, we are ahead of the guidance that we give in terms of margin for the first six months, I mean at 32%. At the same time, price adjustments was in line – or we were calculating, as I said before, we decide, we control the price adjustments, and it was in line with our margin that we guide by the end of the year. So the second half of the year, we should be moving towards this 13% to 16%. This is going to happen smoothly until the end of the year and towards – afterwards, we keep also the 13% to 16%. There is no material price cut or adjustments because we mentioned this in our trading update like 15 days ago, and that I can confirm today. So no price cut, no price adjustments for the second half of the year. We’ve done it already. We’re super happy with what we did. And that’s going to be moving towards that margin. And then in terms of investments because you asked, like is price cut the only investments you can do. No, I mean like I mentioned before, product, infrastructure, also like marketing is something that to drive new customers. So this is obvious investments that you can do. And beyond that, there are also other possibilities. But that’s the ones that I would mention now.
Hannes Leitner: Hi. This past month, we saw Stripe do an acquisition in the stablecoin space. Just curious how over the next, I don’t know, five years, you think stablecoins will play a role with Wise?
Kristo Käärmann: I can’t – every time there is a crypto or stablecoin question, I think our opinion hasn’t changed, that if we see something that enables the movement of funds faster, cheaper and more conveniently, we will totally consider that. So the stance hasn’t changed. But we also have nothing to report that we would have seen anything interesting. So I believe their circumstances are maybe perhaps why they did that acquisition, it must be something different than ours.
Alexandre Faure: Good morning. Alexandre Faure with BNP Paribas Exane. Thanks very much for taking my question. A couple of questions. Kristo, I think in the press release this morning, you share relatively precise vision on for cost and the price of a £10,000 transaction in 10 years’ time. So why did you feel the need to be that precise in the sharing of that vision with us today? And obviously, this sort of implies about 50% margin, I suppose that more gross margin than PBT margin, but still I don’t think that OpEx would scale that much in 10 years’ time. So we take a very long view back to many earlier questions on operating leverage and target PBT margin.
Kristo Käärmann: Sure. I’ll – it was directed to me, so I’ll take that. The reason why I was so explicit in the trading update was – or the update today is just to paint a picture a little bit. So I think it’s very hard – not very hard, but kind of use our imagination to go from a business that’s serving the 11 million actives we reported and 400 billion annual volume or 120 billion annual volume to that, which is in trillions and serving hundreds of millions of customers. So that’s a very setup, a very different business. And the scale effects that come with operating at that scale give us something that no one else has, which is being able to price at a point that no one else can. And I use this relatively far out example, and I made it precise because I wanted you to really think about how that comes to life. So that was the rationale for going perhaps slightly more explicit than normal.
Emmanuel Thomassin: I think like as a newbie, I can see the reason why it’s so difficult to see like from billions to trillions. But the investments that the company is doing is really unlocking a lot of opportunities. And it was very nice to announce on the startup yesterday or two days ago as a proof of now we’re talking to Tier 1 banks that see also the value of this instant payment infrastructure that Wise have been building. So it’s required a bit of like projection for the future, but I think this example was exactly that.
James Britton: Good morning, guys. James Britton from HSBC. Compared to some of these guys in the room, it’s a little bit newer to the story. But I’d just be interested to hear, are there risks from growing your business too fast? There seems to be a lot of headroom in the business plan to actually push investment a lot, lot harder, push marketing a lot harder, perhaps investment price even harder within the constraint you set itself. So are there constraints and risks to really pulling those levers? And the second question was just really on the number of direct connections you’ve got. Obviously, it’s a key driver of the gross margin benefits you posted. What can you say about the sort of scope for direct connections you’re targeting in the medium term?
Kristo Käärmann: For sure, I – on the direct connections and start from the back one that I remember, I won’t put a time line on this, but we’re at six coming to eight now. We’re operating in 40 currencies. So eight to 40 is, I guess, the scope, the immediate scope. And the world has been more than 40 currencies. So everywhere where we operate at a scale, it will make sense to be directly connected to the infrastructure, straight to the metal as they say and – or straight to the central bank in this case. So this makes a lot of sense. The scope is all of the currencies. Let me come back to the previous question.
Emmanuel Thomassin: The risk.
Kristo Käärmann: The risks, for sure. The risk that we operate in and the environment that we operate in is very similar to when we started 14 years ago. So we’ve had like 14 years to manage the risks, build our systems and infrastructure to also manage the risk. So the infrastructure is not just pumping through money. It’s also managing all the risks involved in that. So I don’t think our risk profile has changed. And we’ve built out the systems to scale the volumes at the same time as we’re managing the risks involved. So I’m comfortable with that.
James Britton: Why don’t you invest more aggressively to capture the growth opportunity that’s clearly there?
Kristo Käärmann: As in why are we not less profitable was the question?
James Britton: No, no. Just you’ve posted fantastic margin numbers, which is way above your targeted margin. So what are the constraints that stop you from investing more to actually drive more top line growth?
Kristo Käärmann: That’s a fantastic question. We do have a lot of opportunities to invest that would bring the future closer, faster. We’re totally looking into to doing that. But as you’ve seen over the history, we want to make sure that every investment that we make is very clearly paying back in returns. And we’ve created the investment framework with a targeted level of profitability, which kind of gives us the bandwidth to invest in. So we’re going to get there, which is not there yet.
Emmanuel Thomassin: I can confirm that there is really discipline in terms of investments, which I really like. I mean, we really focus on the return on the payback time, what should be accretive for the shareholders, what we invest here. So that’s the case. We invest also long-term. I mean, like, today, the six plus two licenses that we announced. But I mean, obviously, this is not the end. In terms of risk because you mentioned before, we scale. I’ve been also working in a hyper-growth company before, you have to prepare the infrastructure. So you have to make sure that we can onboard the new customers and so on and so forth. But this is a bread and butter business day by day. So I see, yes, if the hyper-growth – the business with the hyper-growth, we’ll have to be ready for this. And this is a bit my priority that I mentioned before, to enable – with the teams to enable the business to grow.
James Britton: Thank you. Two for Kristo, one for Emmanuel. Kristo, you talked about this sort of journey from going through the billions to the trillions. How do you think of the kind of geographic coverage of the business? You said, I think, you’re only capturing like 5% of the opportunities. So curious to understand the kind of room to grow in the existing markets you’re in, how much kind of land and expand there is versus the trade-off of kind of new markets. And then secondly, I remember at the time of the listing, you talked about the infrastructure, the way it was constructed. At the time, you had like a 5x headroom almost if you had sort of stopped investing. But you’ve been obviously growing the capacity. So how do you think about that kind of capacity growth as you scale the business and how that sort of shifts over time? Emmanuel, on the price cuts, I don’t know if there’s anything you can share. I know you expect kind of active customer growth to come over the medium term. But is there anything from kind of prior cuts that you sort of observed in terms of the kind of the time line? Or what are the kind of constraints around that acceleration in actives? That would be great. Thank you.
Kristo Käärmann: So starting with the geographical split and headroom question. We had – I think, the last full year results, we had a split up, and we show the growth in growth by region. As you recall from that, it was actually pretty stable. We saw that APAC, so Australia Pacific was growing faster – or Asia Pacific, sorry, is growing slightly faster. The rest of the world, that included Brazil, is growing a little bit faster. But generally, there was no big difference in terms of the regional growth rates. So we’re seeing from numbers that there’s – like within this 95% that we haven’t yet captured, even for individuals, there’s plenty of headroom in all the markets where we operate. So yes, we don’t really see that being a challenge.
James Britton: The capacity?
Kristo Käärmann: In terms of the capacity, I didn’t quite get what do you mean by capacity.
James Britton: In terms of the infrastructure that you build as you scale the business, how do you think of the rate of investment going forward? Is it sort of – I guess it’s not purely linear, right? At some point, there comes kind of a slowing of that infrastructure capacity growth.
Kristo Käärmann: Yes. So if we look at the projection forward. At the moment, we are limiting our investments to match our financial model. And I think that’s going to be going for a long time. So I think our capacity to invest is not so much about the opportunities to invest in, but the capacity that our financials give us. More limited by that today and for the foreseeable future, actually.
Emmanuel Thomassin: Maybe I can cover the last question and the price cut and the impact on the consumers. I mean, we know for sure from that even if you come – like the 70% of the customers as a reference as a recommendation, we know that price is number one argument to join Wise. So this is clear. So that’s why we do all these efforts. We pass the efficiency to pricing. In terms of time line, I don’t expect to have like a big wave of new customers on the day after. We know that this is also like the elasticity is not short term, but it’s like midterm or long term. So basically, you won’t have a volume increase of customers the day after, but more this is driving the long-term acquisition of customers. So no impact the day after. But on the midterm, long term, we know that this is important. That matters. At the end, when people are going to transfer €100,000 or €10,000 or GBP, they’re going to check. And at that point, price is going to be the key to get to customers. So that’s why we do all these efforts continuously.
James Britton: Thank you.
Aditya Buddhavarapu : Hey good morning, Kristo, Emmanuel. This is Aditya from Bank of America. Two questions for Emmanuel, one for Kristo. Emmanuel, you mentioned that you’re going to look at the short, mid, long-term planning or review that, so could you just maybe elaborate on that, what you might have in mind? And then second, on capital allocation. So you have a very strong balance sheet, very strong cash flow. Could you talk about what that opens up in terms of opportunities for capital allocation going forward beyond the existing buyback to offset dilution, I guess? And then Kristo, in the release, there’s a mention of the Board consulting with shareholders regarding amending articles of association for the UK listing rules. So could you just maybe expand on that, maybe any initial comments?
Emmanuel Thomassin: Yes. To cover the first question, I had the chance to start four weeks before the trading update. So I could experience like how the closing is taking place with my colleagues, which is phenomenal. I mean, like, wow, we do super closing, super fast. People are experts, I like it. And then I think also it’s a good exercise for a new CFO to look at how do we plan short-term, long-term, mid-term. So this is just like, okay, how do we come to these assumptions? I would say it’s almost like a good sanity check for a new joiner, a new CFO, to understand the logic behind it and how basically the company has come to the guidance and the comfort that basically you have on the planning. I don’t expect any surprises, but it’s more – I think this is key that the CFO is doing this exercise. In closing, we just did it, and I was happy to jump into the water very quickly. So yes, so that’s why I think this is one of my first priority. Capital allocation. Yes, I mean, like the company is doing fantastic. I’m like this is clear that we have excited capacities. And this exercise is not – capital allocation is not something that is new for the company. The team have been working on this for quite some times already. I asked basically to pause a bit to have an opinion. So like basically, I am the one that is maybe a little bit asking for how do we want to invest, what is the return for the shareholders, just to understand it. But yes, there is, I think, no option that is – or as you say, I rejected – or I don’t know what is it in English right now – off-limit, yes, thank you for that. So there’s no options of off-limits. We will consider everything in terms of allocation. The only requisite is that we have to have a good return. We have to do a good return for the company, for the shareholders and a good payback.
Kristo Käärmann: Yes. And your question about the listing growth changes in the UK. There is an opportunity for us to switch the segments in the UK. It’s for us a pretty big change. It requires a change in the articles. The Board is consulting our shareholders and how to proceed with this. So more information in due course.
Aditya Buddhavarapu : Maybe just one quick follow-up. As you mentioned in the release, you’ve doubled the number of direct connections over the last year. Has anything changed in the sort of underlying environment, how regulators are looking at Wise, which is sort of led to this acceleration? Is there anything changing in terms of how people are looking at instant payments or anything at all Wise? Or is it just things happening all at once by coincidence?
Kristo Käärmann: Sorry, what was the question? Is there a correlation between the instant – sorry, the payment integrations and..
Aditya Buddhavarapu : Well, just the fact that you’ve doubled direct connections in your – has anything changed and how really it is looking at Wise? Or is it just a coincidence that it’s all happening at once?
Kristo Käärmann: So I think generally, so we’re licensed in – we’re going to carry 65 licenses, sometimes multiple licenses in the country. So we have relationship – ongoing relationships with almost every regulator in the developed world. I think it’s more of a matter of time and as they kind of come used to our business model and how we work and operate, their confidence grows over time. access to payment systems kind of opens up over time as well. So I think this is more kind of fruits of a long many multiyear efforts that have all been started in parallel. So these are the investments. So this is a very good question, actually, because these are the investments that we have started. Many of the like things that we’re talking about today, we started to two, three years ago. Like two or three years ago, and we maybe now have the licenses to connect to PIX in Brazil. It will take a few more years where we’re actually starting to see the customer benefits out of that. But if we hadn’t started three years ago, we wouldn’t be here today. So it’s a very good example of actually a very long-term investment. Thanks for that.
Aditya Buddhavarapu : Thank you.
Unidentified Analyst: Hi. It’s Mark from Morgan Stanley. Thanks for taking the question. I just have a quick follow-up on the second half PBT guidance. Obviously, we can all do the maths on the price cuts. But there’s lots of moving parts underneath that on the cost side. So could you just give us a little bit of a helping hand in terms of the walking us through the moving parts of the margin in the second half? And do you think there’s a possibility that you can hit the target range in the second half of the year? Thanks.
Emmanuel Thomassin: I will probably not comment the second part of the question at this point of time. But basically, how do you model, if you want. And you see in the cross – we reduced the take rate on the cross-border, how much revenue we do or the volume of it. So basically, you can factor in the decrease for the next six months to come will give you basically the direction of travel for the margin. The rest of the cost, stable. We don’t expect cost of sales. We continue to work on efficiency. OpEx, I mentioned before, like we invest in third party to be flexible. So I would think like we will smoothly go towards this 13% to 16% margin for the second half. And I mentioned like no material adjustments, price adjustments for the second half.
Andrew Hollingworth: And hi, good morning. I am Andrew Hollingworth from Holland Advisors. So just a couple of questions on the sort of competitive situation. So I’m a massive Buffett fan, and Buffett talks about assessing companies according to whether they’ve grown or shrunk their moat in the course of a period of time, not where their profits have gone up or not. It’s clear lifting to you, your investment in price, unit costs network, yes, you’re growing a moat big time, okay? But what I – this isn’t a one-horse race. And Kristo, you’ve talked in your other literature before about getting to the end game and making sure the lowest unit cost and the point in the future and all the rest of it. So could you talk about your competitors and what your competitors are doing, where you think you are in terms of sort of relative strength against them? I’ve loved everything you said today. The only thing I haven’t loved is when you said at the moment, we’re limiting our investment to match our financial model. I don’t think Elon Musk would do that. So – and 2/3 of the way through Elon Musk’s book, and it talks about wanting to use investors as a financial platform. So I’d love to hear you talk about competitors real today, competitors that could come along and what goes wrong. Because what goes right seems pretty clear.
Kristo Käärmann: I’ll take that comparison to Elon Musk, I think it’s my first. Although it’s not positive, but it’s still my first.
Emmanuel Thomassin: Where is the rocket?
Kristo Käärmann: So your question is really about competitors and whether the competitors are investing in a moat, in a similar way. I think there’s – especially when you ask your question more maybe from the Wise platform angle, it’s worth thinking of competition in two ways. One is the incumbents. So incumbents are the largest – world’s largest correspondent banks. This is who we compete, who can handle the volume for banks today. And the others are newcomers and maybe the ones that don’t exist today. And I will go back to some of my early shareholders who were in the business of investing in Wise and investing in early start-ups. They used to say that if you’re – because they’re all the time, they’re investing in someone who is going to try to beat Google. How you’re going to – you at least have a plan how you’re going to feed the incumbents. But don’t forget that the new ones, you don’t even know what they’re going to look like. So hence, when we think about building the moat, we build a moat against incumbents, make it harder for them to catch up on the infrastructure. We kind of replace the rails. But we also actually compete with the companies that don’t exist yet. And that’s maybe even the more important part of the moat.
Andrew Hollingworth: And that’s the root of my question. It’s not that I’m making comparisons with Elon Musk, but you’ve got people like that who take big bets, do invest in the very long term, do incur significant financial pain to do that. And so I suppose another way to ask it is the fact that you’re prepared to run your investment levels to a financial model suggests that you are very happy with where you are in a competitive situation. Because you’re very happy that there’s great investment, great growth, secular building competitive advantage, but there’s still a bit that pops out of the bottom, whereas the fact that you haven’t stood up and said, actually, what, there’s enough competitive pressure, there is enough people trying to build networks a bit like ours, we’ll just invest a lot, and you haven’t said that yet.
Kristo Käärmann: I haven’t said that yet. I think we’re holding a really good balance at the moment. We’ve historically been of the view that having a balance of investment makes really good sense in what we’re building as a company for the long term. But of course, we’re not shying away from investments that have a potential for a fantastic return over the medium to long term. So that’s what Emmanuel was referring to. It’s we might find things to invest behind. And as owners of the company, we should consider that.
Andrew Hollingworth: If I may ask one more, but it’s a brief one.
Kristo Käärmann: Okay.
Andrew Hollingworth: A bit like Emmanuel, before researching the company, I haven’t come across Wise, I didn’t appreciate its strength for all the rest of it. I run my own business, which is perhaps unusual for institutional shareholders. So having looked at Wise through my own business, my business probably saved about £12,000 a year if I start to use Wise from a multicurrency invoicing and for the fact that what you pay on assets. Why isn’t your – why couldn’t your business customer and the accounts become very, very big quite quickly? And could we end up – and could we make sure we end up with a point that we don’t have to turn them off again and what are we doing to make sure of that?
Kristo Käärmann: It can. It might. And we’re working. We’re...
Andrew Hollingworth: But we must stop starting again in terms of – so what are you doing to ensure we don’t stop start in terms of saying we can’t onboard you as fast as you want?
Kristo Käärmann: Well, we have been investing behind the infrastructure that enables that, the service that enables that. When we have – we had stopped onboarding a year ago or six months ago new customers, and that was no disruption to our existing customer base. So I think it’s a great position to be in to have so much demand that you can choose which customers you serve. We want to serve everyone in the world group. So it’s kind of my job to make sure that we don’t limit ourselves in terms of the number of customers that we serve. I’m glad you reminded me.
Emmanuel Thomassin: Maybe if I can jump in also. I mentioned before in terms of administrative expenses, the vast majority of the 24% that you saw was investing in third-party that basically are serving customers. And the idea behind it is to scale up and down, up because if you face a hypergrowth, then we can scale up with these partners. This is the work that has been done over the last two years, selecting the partners, making sure that we deliver the service that our customers deserve in order to scale. So – and I think maybe like on the investments, I think, because there’s a big discipline. There’s a very huge discipline in terms of investments in this company. And we talk about capital allocation. So there are ideas. But we want to make sure that we get the return that we want to. I don’t think this is not a no investment. This is more like carefully looking at it and making sure that we can return that the company and the shareholders deserve.
Andrew Hollingworth: Thank you.
Martin Adams: Thank you very much for the questions in the room. We’re now going to move over to Zoom. And our first question comes from Gus Gala. Over to you, Gus. Thank you.
Unidentified Analyst: Hey guys, good morning. Thank you for taking our question. So the verbiage on the lowest unit cost possible, very much appreciated. How should we view this in the context of the portfolio of business lines in the sense of the cards and other revenue platforms, business accounts? And if we’re – how do you – the value proposition versus what’s out there in the market from maybe larger peers that aren’t the correspondent banks, the card networks, currency cloud, how do you think about that? And I’ll make it a multi-partner, I guess, all about it. If we think about the carded portion of the business right now, in the past, you gave some colors on the transactional intensity, volumes, what’s going on there. How are we thinking about playing those cards in more hands? And how do we think of that as a growth vector for Wise in the medium-term framework? Is 10-ish growth in the cross-border double-digit growth in card and other a good framework to have? And I’ll squeeze in one more, keep a tradition. A, on the portion of interest you’re not able to give back, is it right to read just based on that side, it sounds like 3/8 of it is stuck in the UK just structurally regulatorily? Thank you for taking our questions.
Kristo Käärmann: Thanks, Gus. I hope I caught some of this. Your earlier question on the portfolio approach to, I guess, to unit economics. Our general kind of thesis is that cross-subsidization generally makes you more vulnerable. And we’ve been the beneficiaries of this as we’re taking business away from banks who historically believe that kind of the bundling effects are impenetrable and us, maybe here, IDN, investment services; we will kind of unbundled a bit of the universal banking approach. So internally, the way we think about U.S. economics is every action, every customer, everything that we do for customers should be profitable on its own. And sometimes, it makes sense to support like parts of the business. But generally, we are very deliberate about this. We still do this. We still, let’s say, cross-subsidize internally somewhat but we try not to, and when we do, we’re deliberate. It has to kind of make sense. There were many more questions.
Emmanuel Thomassin: Yes, there were card development. I mean, card development so I don’t know if I get completely, I guess, the question. So yes, the card developments will continue. I mean, I’ve seen the adoption of their Wise Account and with the Wise Account come a debit card. So if you start a Wise Account usually you create a debit card very quickly. It’s what I did. And then you use the cards much more. So basically this percentage that we’ve seen today, one-third of the revenue is coming from cards and other revenues will continue to grow. It’s worth notice that the transaction volume for someone that’s using the cards might be lower than what we’ve seen for other offering, if you travel or if you do this for the groceries. So I don’t know if this was the question, but yes, we expect the debit cards to continue to grow faster than the core business or initial business.
Unidentified Analyst: On the carded portion, it was, are we doing anything to accelerate getting in the hands of people that are signing up for the account? That’s really the spirit of the question there. And I appreciate the color on the cross-optimization. My other question was on the interest that’s being held back. Is it correct to think of it 40-ish percent, 3/8 is from the U.K. structurally until you get a license, which it doesn’t seem like that’s in the cards. That’s going to be stuck in the system. Just how to think about that? Thank you.
Emmanuel Thomassin: Yes, that’s correct. I mean, like we only in brackets, only give back or half of the 80% that we want to distribute to consumer – to the customers. Part of it or the limitation is the license in the UK, not only, but this is one of the reasons why we can pass the interest generated directly to the customers.
Martin Adams: Thank you. So we’re now going to take a question from Antonin Baudry from HSBC. Over to you sir.
Antonin Baudry: Yes. Good morning. Do you hear me?
Kristo Käärmann: Yes, Antonin.
Antonin Baudry: Good morning, Kristo and welcome as well on my side, Emmanuel. This is Antonin Baudry from HSBC.
Emmanuel Thomassin: Thank you.
Antonin Baudry: Two quick questions on my side. The first one is on Wise Platform business model on the type of contract that you signed with Standard Chartered. For example, how does it work? Should we expect a pickup of new active clients at some point in the coming quarters related to this type of contracts ramp up? And in terms of pricing, do you share a fee or it is Wise price plus margins, which has nothing for you in terms of take rates on margins? My second question is on volume per customer recovery. That surprised positively in Q2. Wise Account was supposed to dilute VPC while macro environment remains difficult. So is it possible to update us on moving parts driving VPC recovery going forward? Thank you.
Kristo Käärmann: I’ll leave the second one to you. In terms of the relationships that we set up with the banks, there are a couple of different models. I believe the Standard Chartered model wouldn’t increase our active customer base. So you can see the numbers there. But it would increase our cross-currency volume numbers and affect the revenue numbers. So I don’t believe we would count Standard Chartered customers among our active customer base. I think that was the technical question.
Emmanuel Thomassin: Yes. In terms of VPC, we move away from these metrics. I think like also like the last six months ago. The reason for this is the development that we see in the debit cards because this is all growing the rest of the business. VPC is not the metric anymore that we should use, we think, because the volumes at credit cards customer – debit card, sorry, I should say is lower than you can expect for a cross-border transfer. That’s the reason why the VPC is not giving a full picture, let’s say, of the activity of our customers.
Antonin Baudry: Okay. Just a follow-up on the pricing with Standard Chartered or other platform business. Is it Wise price plus margin? Or do you share – do you split the fees with the client? Thank you.
Kristo Käärmann: I can’t comment on Standard Chartered contractor deal but generally, we don’t set the prices. It’s the bank who sets the prices for their customers. The agreement that we have with all of our Wise Platform partners is that their customers have to be able to use the real mid-market exchange rate. So there is no hanky-panky with the – or the exchange rates or hidden fees. So all the fees have to be transparent in all our platform partnerships, but the fees are set by the client who owns the customer.
Emmanuel Thomassin: But sorry, but I think we charge the banks with fee, and they decide, so basically, we charge the banks with our fee that we want to get for the services, and the banks decide how much they want to charge for the customer. So if they don’t want to make any uptick, but I don’t think so, on the transaction, we will charge them the amount of x, and then they will charge on top of that to their customers.
Antonin Baudry: Correct.
Martin Adams: Great. Thank you. We’re now moving over to Sven Merkt from Barclays.
Sven Merkt: Hi. Good morning. Thank you for taking my questions. Great to see all the progress that you have made. I had a question on the gross margin and specifically on the difference between the FX business and then the card and other revenues. And the question I wanted to ask is just how much of the recent gross margin is maybe related to the strong growth in card revenues? If you could comment on that. And then secondly, could you also comment, please, on the timing and the quantity of the cost benefit from the new direct connection, please? Thank you.
Emmanuel Thomassin: I’ll start with the gross profit margin. And then – so as we said in the presentation, like 3% of the decrease that are – that we’ve seen in the gross profit cost, let’s say, or the variable cost is coming from FX. So this is obviously independent from our activities. But that means that the rest of the 3% or a little bit more than that are in our dependency. So this is the efficiency that we gain over the time and then this will continue. So the 3% in terms of fluctuation in currency, that’s independent of our activities, not fully, but – I mean to say the vast majority of it. And the rest of it, we will continue to have this efficiency going forward.
Kristo Käärmann: I think the question might have been about – so just to be clear, what we talk about here is the FX effects on our cost of goods sold. The question might have been about how the gross margin of card revenues is different from the cross-border revenues. I think on that base, we don’t expose the splits. But our general principle is that, as I mentioned earlier, all of our services should have a similar level of profitability, if that’s possible. If it’s not a possible, we subsidize – were we’re willing to tolerate different gross margins, but then we’ll be deliberate about this.
Emmanuel Thomassin: And I forgot the last part of the question.
Kristo Käärmann: The last part of the question was – benefits from direct connection. And these are – I think you got the sense how big of a – quite substantial investments to make. And the amortization, I’m using this loosely, this term, happens over a long period of time. So sometimes, we have immediate cost benefits of cutting out the intermediaries. But actually, the bigger benefit comes from the experience that otherwise is not possible. So from instant payments with higher reliability with lower support costs. So there’s a different type of investment. I would say that we have quite a substantial regulatory technical investment to begin with, but we’re reaping lower unit costs over time and kind of amortize this to kind of very long time.
Emmanuel Thomassin: Yes. I think direct cost is the intermediaries, as you said. And then indirect cost is service – call it, the service level. Because people are more happy they receive instant payment, basically they call less. And you also not only have a better customer experience, but also in terms of cost, you have savings.
Martin Adams: Great. Thanks. So now it’s Josh Levin from Autonomous.
Josh Levin: Hi, good morning. Two questions for me. First, you talked about getting more direct connections to payment systems. Will you need to get a banking license to do that? And the second, in the Standard Chartered deal, will the customer know that he or she is actually riding in Wise rails? Or is it purely white label? Thank you.
Kristo Käärmann: I’ll take both of them. I think again I can’t comment for sure. I – so I don’t know is actually the answer. They don’t have to know, I think. We have partnerships in both ways. Sometimes the bank or the client tells the customer that they’re using Wise. Sometimes they don’t. Sometimes the bank wants to tell them. So I don’t know. I think it’s actually – it’s quite likely up to Standard Chartered what they choose. And the other question?
Emmanuel Thomassin: Was about direct license – do we need a bank license in order to increase?
Kristo Käärmann: Yes. So there is a shift. It was a really – you asked the question. So it was a really weird regulatory setup, let’s say, five, 10 years ago in the world, where you had to be lending customer deposits to access the payment system. So most regulators have now moved on from that, kind of recognizing that payment companies should have access to payment systems. And most of their – more regulatory environments in the developed world have kind of shifted their understanding and change the rules. It’s a relatively fresh change that nonbanks are able to connect. For example, in the UK, we were the first nonbank to connect to the faster payments in – is it 2017, 2018? In Japan. I mean, they’re relatively conservative regulatory environment. Regulatory pacer, they’re very careful with the steps that they take. We were last week the first nonbank to join Zengin as the payment system. So this is a – these regulatory limitations used to be in place. They’re now being lifted everywhere in the world, and that has kind of giving us the opportunity to join.
Martin Adams: Thank you. So now over to Gautam Pillai at Peel Hunt. Thanks Gautam, you – had to speak. Okay. So the next question is from Nooshin Nejati at Deutsche Bank. Please.
Nooshin Nejati: Hi, thanks for taking my question. A couple from my side. You mentioned a 3% FX fluctuations impact on cost of sales in H1. Any color how should we think of it for H2? And then on outsourcing or use of third parties, is it something you’re going to continue? Will we see lower hiring in a sense? Or how should we think about this? And then the last one on the guidance, if I may. As we are moving towards the 13% to 16% margin, and as we have this elevated margin for H1, what prevents you to give us a more clear guidance for full year and maybe next year?
Emmanuel Thomassin: Well, on the FX, I don’t have an answer because there are – the movement of the FX for the next 6 months is difficult to predict. I mean, like there is an event yesterday that could impact our U.S. dollar/GBP. So I’m really not in a good place to predict, but we know for sure that they will have an impact. So I don’t know what would be the impact for the next six months. The second one was how to – do we expect to employ more people? I think the direction of travel is to have this flexibility. I mean, we mentioned before, how do you scale the business in face of hyperscale. And that’s why we’re looking at working with experts, our external consultant, to have this flexibility and to be able to scale. So I think, as I mentioned in my presentation, the third-party development year-over-year was faster than the employee benefits. And this is also, I think, a measure that we will continue to do in the future. And I didn’t have the time to – oh, the guidance. Now at this time, like we know we feel comfortable to confirm the guidance for this year, for the rest of the year. We discussed about this in length. And for next year, again, four weeks down the road. So maybe we’re going to see each other for the next planning update. And we will then dig into the guidance for 2026, 2027 onwards. But at this time, I think we’re comfortable with the guidance that we gave.
Martin Adams: Thank you. There are no more questions.
Emmanuel Thomassin: Thank you very much.
Kristo Käärmann: Thank you very much. Thanks for all the questions. You’re all very thorough.
Emmanuel Thomassin: Thank you very much.